Operator: Good morning. My name is Victoria and I will be your conference operator this morning. As a reminder, this conference call is being recorded. I would like to welcome everyone to GFL Environmental, Inc.’s Results Call for the Second Quarter of 2022. I will now turn the call over to Patrick Dovigi, the CEO of GFL. Please go ahead, Mr. Dovigi.
Patrick Dovigi: Thank you and good morning. I would like to welcome everyone to today’s call and thank you for joining us. This morning, we will be reviewing our results for the second quarter and updating our guidance for this year. I am joined this morning by Luke Pelosi, CFO who will take us through the forward-looking disclaimer before we get into the details.
Luke Pelosi: Thank you, Patrick. Good morning, everyone. We have filed our earnings press release, which includes important information. This press release is available on our website. During this call, we will be making some forward-looking statements within the meaning of applicable Canadian and U.S. securities laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set out in our filings with the Canadian and U.S. securities regulators. Any forward-looking statement is not a guarantee of future performance and actual results may differ materially from those expressed or implied in the forward-looking statements. These forward-looking statements speak only as of today’s date and we do not assume any obligation to update these statements, whether as a result of new information, future events and developments or otherwise. This call will include a discussion of certain non-IFRS measures. A reconciliation of these non-IFRS measures can be found in our filings with the Canadian and U.S. securities regulators. I will now turn the call back over to Patrick.
Patrick Dovigi: Thank you, Luke. Our strong start to the year accelerated into the second quarter, once again driving industry-leading results. The strength of our business model, the quality of our market selection and the capability of our team were all demonstrated again this quarter, even in the face of many unprecedented headwinds. Organic revenue growth for the quarter was over 13%. That’s the second quarter in a row with double-digit growth in both our Solid Waste and Environmental Services segments. The 6.4% solid waste price in the first quarter accelerated to 7.3% in the second quarter as we continue to flex our pricing strategies in response to the record-breaking cost inflation environment. We also recognized 1.9% solid waste revenue growth from our surcharges as our efforts in this area have begun to drive meaningful contribution. We’ve said before that we see a lot of opportunity to increase the dollars we recover from surcharges, and we’re confident in our ability to continue to optimize the book of business using this lever. With a substantial price outperformance in the first half of the year, we expect to significantly exceed the high end of our revenue guidance for the year, and Luke will speak to our revised guidance. It’s important to remember that this year’s price is being achieved even with the delayed impact of the meaningful price increases in our CPI-linked book of business. The recovery of our current cost inflation from those contracts will be realized for the most part only in 2023 and 2024. We believe this creates a highly compelling backdrop for our financial performance in 2023 and beyond. Volume growth was 2.8% in Q2, excluding onetime MRF volume from the prior year that we knew were nonrecurring. Volume growth in the second quarter of 2021, excluding MRF volumes, was 5.1%, making this quarter’s performance more impressive when considering the tough comparison. As we expected volumes in our Canadian business, saw the benefit from the continued reopening activities. Our Environmental Services segment realized over 20% organic growth in Q2, reflecting the continued reengagement of our customer base that started in Q1. The increase was well ahead of expectations and was driven by our strategic network, dedicated team and overall expanded service capabilities from the integration of the Terrapure acquisition. Higher price for our collective used motor oil that acts to the natural hedge against the rise energy prices also contributed to the revenue growth during the quarter. Adjusted EBITDA margin was 26.5% for the quarter, and we think that’s a fantastic outcome considering the cost headwinds at play. We knew there would be margin pressure in the first half of the year resulting from labor and other cost increases we saw in the back half of 2021. We also knew that the ramping up of travel and other costs plus pandemic would put pressure on margins, but we had not anticipated the extent of the rising fuel cost and how the labor shortages and supply chain disruptions would continue. This quarter saw all-time high unit rates for fuel and labor, but also the flow-through effect and more overtime hours and reliance on higher cost third-party repairs and maintenance, higher third-party transportation costs and increased truck rental costs from blaze and delivery of spare parts and new trucks. We responded to those unprecedented comp pressures with nearly 10% pricing and surcharges, the highest in our history. We also grew adjusted EBITDA by 34% over the comparable prior period. While the magnitude of this cost recovery drove margin compression in the quarter, the impacts are essentially all from fuel prices, which we see as temporary and strongly believe that our performance in the quarter once again demonstrates the resilience of our business model. History suggests that the unit rate cost inflation will eventually moderate and higher costs driven by labor shortages and supply chain disruptions will eventually subside. Additionally, our ability to recover our energy costs will continue to improve. When that happens, we see significant opportunities for accelerated margin expansion through pricing and improved asset utilization. We also continued to execute on our M&A strategy, completing 28 acquisitions year-to-date, representing approximately $360 million of incremental annualized revenue. The acquisitions we completed in Q2 other than Sprint Waste were all small tuck-ins that continue to densify our footprint. The M&A environment remains attractive and our pipeline is deep and continues to grow through accretive opportunities. On RNG, we now have five projects in active development, 7 projects under negotiation and we have issued an RFP for an additional 9 sites. We deployed approximately $30 million of capital into these projects in the first half of the year and expect to invest the same in the second half. We remain highly confident that we will see these projects begin to generate cash flow in 2023 and continue to ramp up through 2024 and beyond. As we said, when we first told you about the RNG opportunity in December of 2021, we modeled our expected return on these investments at significant discounts to the prevailing RIN values. As a result, our quantification of the opportunity is still conservative and despite the recent softening in the RIN pricing. On ESG, we took delivery of our first fully electric side loader this month that we’ll use to service our residential contract in Squamish, British Columbia. As highlighted at our Investor Day in May, we’ll deploy 30 to 40 electric vehicles by 2025 to service the recently awarded city of Gainesville contract. These vehicle deployments are part of the plan to increase our annual fleet replacements with CNG or electric vehicles with an overall short-term goal of 50-plus percent conversion. We are also on track to issue our full set of sustainability-related goals in Q4 of this year. This will include our goals to reduce greenhouse gas emissions from our fleet and our landfills and to increase the resource recovery services we offer to our customers. I will now pass the call back over to Luke, who will walk us through the details of the financial results and then I’ll share some closing perspectives before we wrap up.
Luke Pelosi: Thanks, Patrick. Before I start, I once again want to remind everyone that we’ve excluded the contribution of the now divested GFL Infrastructure division from our results, and all period-over-period comparisons that I reference on a like-for-like basis, unless I say otherwise. Solid waste organic revenue growth accelerated nearly 210 basis points from Q1 to 12.4% in Q2, driven by 7.3% price, 1.9% surcharges, 0.8% from commodity prices and 2.4% from volume, or 2.8% volume when excluding the nonrecurring MRF volumes from the prior period. While volume was broadly in line with our original guide, price and surcharges significantly exceeded our base guide as we revisit our pricing strategies in order to recover the unprecedented levels of fuel prices and cost inflation in the business. You will note that we broke out surcharges for the first time this quarter in our reporting, now that we have a substantial amount of recovery happening each month. Previously, the relatively material amount of fuel costs recovered were being presented in price and volume. Going forward, we’ll be disclosing the amount separately as we’ve done this quarter. Variable fuel surcharges recovered just under 50% of the direct fuel price increases we saw this quarter. As mentioned, the industry has demonstrated what an effective fuel cost recovery program looks like, and we see a clear path over the near term to harmonize our practices with industry norms. To mitigate our current fuel and other cost recovery gap, we can pursue incremental open market pricing and realize 7.3% price in the quarter, a 90 basis point sequential increase over Q1 and approximately 175 basis points better than our original plan. 2.8% volume growth was a continuation of the positive start that we saw in Q1, as were the strong post-collection volumes across most geographies. Volume growth was the strongest in Canada, as expected, and particularly in our Environmental Services segment, where we grew revenue over 20% organically on strong volume and higher used motor oil selling prices. The momentum we saw in this segment in the first quarter carried on into the second quarter, reinforcing our positive outlook for this segment for not only 2022 but also the years that follow. Contribution from M&A was 24%, also ahead of plan and largely a result of the outperformance of the Terrapure business. Adjusted EBITDA margins were 29.4% for solid waste, 28.2% for environmental services and 26.5% for the company as a whole. As Patrick mentioned, the unexpected severity and duration of rising fuel prices, coupled with additional costs associated with labor shortages and supply chain disruptions more than offset our pricing strategies and yielded margins 50 to 75 basis points lower than our original plan of low 27s or 130 basis points lower than the prior year. Keep in mind, as Patrick noted, our pricing to date has been achieved largely in the open market and not on our CPI-linked book of business, which we expect to see the benefits of in 2023. Fuel price was the single biggest impact, increasing direct energy cost by nearly $45 million and reducing margin by over 250 basis points on a gross basis. Partially offsetting this decrease was just over $20 million from fuel surcharges and just over $10 million from the combined impact of higher selling prices for our used motor oil and the benefit of financial fuel hedges, resulting in a net margin impact of 100 – approximately 100 basis points from direct fuel alone. Impacts of indirect fuel costs realized through higher third-party transportation costs further impacted margins. Labor-related costs also had a significant impact in the quarter. While the approximately 6% labor unit rate increase over the prior period was broadly in line with expectations, persisting tightness in labor markets drove overtime costs and reliance on third-party technicians for R&M higher than anticipated. Supply chain delays, which impacted spare part and new truck deliveries also resulted in higher operating costs and higher third-party truck rental costs. We also saw increases in the rates charged by our third-party transportation suppliers, which is essentially an indirect impact from higher fuel and labor prices. We responded to this perfect storm of cost headwinds through incremental price and surcharges. Until we ramp up our fuel surcharge programs, we need to use a portion of our core pricing to fill the fuel recovery shortfall, limiting the pricing available to cover the multitude of other atypical cost increases we’re currently facing. While this strategy has allowed us to recover the majority of our EBITDA dollars, there is margin pressure from the pass-through nature of the cost recovery as we saw this quarter, and we now expect for the year as a whole. However, we view the current cost inflation dynamic as temporary. While annual unit rate increases may not go back to previous lows, we expect them to moderate from current levels, and the labor market supply chain-related costs will likely subside. This anticipated cost inflation relief, together with our continued focus and discipline on our pricing strategies, sets us up to continue with our organic margin expansion goals as we move into 2023. Adjusted free cash flow was $102 million compared to $162 million in the prior year period. The current period included nearly $150 million of CapEx, included a $20 million CapEx for investment in RNG joint ventures compared to a net $75 million of CapEx in the comparable period, which included the benefit of $65 million proceeds and asset sales. While we’re treating our capital contributions to RNG projects as a CapEx-like item in free cash flow, we have separately broken them out so that results can be compared on a like-for-like basis. Also, as we said on our last call, the $224 million in cash proceeds were received from the spin-off of our infrastructure business have been reinvested into M&A and are therefore not included within adjusted free cash flow as an offset to CapEx. In addition to the incremental CapEx realized in the current quarter, the current period included an $85 million investment in net working capital, substantially all of which was tied to the revenue growth within the period and should normalize by year-end. The prior year comparable period included a $4 million adjusted investment in net working capital. The variability in adjusted free cash flow that can result from CapEx timing and working capital movements are why we do not guide to a free cash flow number on a quarterly basis, but rather focus on a target for the year as a whole. In terms of M&A, year-to-date, we’ve deployed approximately $965 million to acquire approximately $365 million in annualized revenue. The 2022 in-year revenue contribution of which is estimated to be about $215 million net of divestitures. Net leverage at quarter end was high 4s, in line with what we had communicated on the last call. We still expect to delever by the end of the year, although at a more tempered basis on account of M&A and the cost inflation headwinds we’re seeing. In terms of our outlook, we are increasing our guidance for fiscal 2022 for the second time this year. At the high end of the ranges, revenue is expected to be $6.475 billion, adjusted EBITDA is expected to be $1.73 billion and adjusted free cash flow is expected to be $680 million. At the revenue line, the increased revenue and guidance includes $215 million from net new M&A, $55 million from FX rates, $100 million outperformance for our Environmental Services segment in 2021 rollover M&A, and $180 million from incremental price increases in surcharges. This represents a $550 million or nearly 1,000 basis point increase over our original guidance. Offsetting these increases are approximately $220 million of incremental costs, roughly 50% of which is direct fuel pricing, and that’s really the summary. Fuel and other cost increases are increasing $220 million. We’ll recover the majority of the dollars, but in doing so, we will see temporary margin pressure. We’re using this period to accelerate our pricing and surcharge strategies, which we strongly believe will position us for accelerated margin expansion once the broad-based cost inflation subsides. In terms of adjusted free cash flow, included in the guidance is now $400 million of cash interest, which is a $60 million increase over our original guidance, $40 million of which is attributable to higher interest rates on our floating rate debt. The fact that we’re able to raise our guidance despite the unprecedented pace of interest rate increases is a testament to the opportunity for free cash flow operating leverage in our business. Included in adjusted free cash flow reconciliation of approximately $650 million of net CapEx, which is inclusive of our anticipated investments in R&D joint ventures and proceeds on dispositions as well as the normalizing timing difference adjustment carried forward from 2021. As always, the current guidance assumes no further M&A in the current year and any contribution from transactions that are completed will be incremental to what we’ve laid out currently. With that, I will turn the call back over to Patrick.
Patrick Dovigi: Thanks, Luke. When we went public in March of 2020, none of us knew that we were at the start of an unprecedented personal and economic disruption brought on by the global pandemic. In hindsight, that period represented the first great data point for us to demonstrate the capabilities of our business to respond to those disruptions and the resilience of our growth profile. To me, the current environment is no different. We hope this represents the final exit from the pandemic, and this quarter’s results demonstrate that our business continues to flex and respond to the challenges we face as we always have. Consistent with historical trends, the current noise around temporary margin impacts will fade. I have every confidence that we will emerge from these challenging times even stronger and further demonstrates the quality and resilience of our business and the commitment of our amazing employees that come to work everyday and find ways to make our business even better. As we continue to pull all levers that we have at our disposal to drive the growth of this great business that we built together, I have never been more optimistic about our future. I will now turn the call over to the operator to open the line for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Walter Spracklin at RBC Capital Markets. Please go ahead. Your line is open.
Patrick Dovigi: Hello, Walter. Maybe you are muted.
Operator: Hello, Walter.
Unidentified Analyst: Can you hear me? Hi, this is Louis on for Walter.
Patrick Dovigi: Yes. We can hear you.
Unidentified Analyst: Okay, so our question is…
Patrick Dovigi: Hi, Louis.
Unidentified Analyst: Hi, Patrick. A question on your pace for acquisitions. So at your Investor Day, you indicated the starting point for 2022 leverage of 4.5x. And then sure that it would come down to around 3.2% by 2025. Your leverage ticked up to just under 5 turns at the end of this quarter. So given the pace of acquisitions in your pipeline for the year, do you expect your starting point at the end of this year to be above 5x or do you see leverage ending the year closer to 4.5x as you were contemplating at the Investor Day?
Luke Pelosi: Hey, Louis, this is Luke Pelosi responding. Thanks for the question. So at the Investor Day, we laid out multiple scenarios of what it could look like depending on varying levels of M&A. If you think about how our leverage cadence goes through the year, Q2 is the natural peak just because of the way run rate adjustments roll off. And so even at the time when we did that investor presentation, it was expected that the Q2 number would peak in the high 4s as it’s done. Ultimately, where we end the end of the year, we will be considering how much more M&A happens in the back half performance of the business and FX, right? So that – the bridge we had given there was to contemplate on the original guide. As you see in this guide now, we’re talking about incremental $130 million, $140 million of fuel costs that we’re contending with. So I think you’ve heard our commitment to de-levering. You’ve seen the math demonstrating the business’ capabilities to de-lever. I think with the pace of continued M&A in the current environment, the pace might be a little bit slower. I think directionally, what you’re going to see is that continued trajectory and then the power the deleveraging accelerating as the business moves forward through 2023 and beyond.
Patrick Dovigi: But the short answer is there is no path that we’re going to be levered in the 5s. So I think it steps down from here. I mean I think that was your – the question. So this is the peak and it will step down from here. Obviously, it will move a little bit depending on what M&A is, but the M&A contribution doesn’t move leverage that much at this point given the relative contribution side of the M&A we’re contemplating.
Unidentified Analyst: Makes sense. Thanks, guys.
Operator: Thank you for your question, Louis. Our next question comes from Michael Hoffman at Stifel. Please go ahead.
Michael Hoffman: Hey, Patrick, Luke, I got a couple. First one on price, I think it’s really important to draw out the power of what the forward price could look like, and I’m not asking for guidance. But you’re running at 7% in this quarter, I presume you’re going to be somewhere between 6.5%, 7% through the second half of the year. So you’re starting next year, 6.5%, 7% is the way to think about it. And that’s clearly an – and an internal cost of inflation is going to be down. I mean, even if it’s only down marginally, it’s still down so it’s creating operating leverage. Can you frame the power of that for everybody, so they just appreciate, it’s not in models right now? And again, you’re not guiding for ‘23, but nobody is factored in where this price is going?
Luke Pelosi: Yes, Michael, it’s Luke speaking. I think that’s exactly right. You’re at above 7% level today. The back half of the year is going to be strong. And I think the numbers you cited are directionally correct where things are going to end up. And really what you’re seeing is that recovering the cost inflation today, right, because of these peaks we’ve had. But that does moderate. And as you move into 2023, if you retain that level of price alone compared to a more moderate sort of comps on the cost side, there is meaningful expansion opportunity there. Additionally, what you’re doing today is before the CPI-related book of business really receives its full price increase, which is really going to happen in 2023 and into 2024. So if you’re achieving 7% number today with your CPI-linked still in the sort of low single digits, better than historical, but still not where it needs to be, you think about what could happen as that starts ramping up to sort of 5%, 6% or better, there is a meaningful price tailwind as well. So I think you’re thinking about it exactly right and are accurate that the current forward forecast don’t contemplate the power of that price.
Michael Hoffman: Okay. And then just to follow through. In your revised guidance, there is $40 million of real costs because of the inflation on fuel. You’ve offset all the other costs for price. Will you be at a run rate of covering that $40 million by the close of the year so that going into ‘23 if the fuel stayed flat, you’ll make that up through the surcharge?
Luke Pelosi: Yes. So two things to that, Michael. First of all, the $40 million hole, I just want to articulate and highlight is our direct fuel costs alone. As you’re aware, a bunch of our third-party cost increases that we’re seeing are actually indirect fuel. So if you were to contemplate that as well, our fuel-related gap is greater than 40%. So I just wanted to sort of clarify that. But to your point, look, Greg and Mark and the team actively at work in getting the fuel surcharge program to where they are supposed to be, and I think the results in the quarter are phenomenal, right? If you look at the rate of change that quickly, they are ramping up. We said it was going to take originally 18 months to get that fully baked. I think there is a path to doing that faster than that, and the guys are aware of the urgency. Now, what we also had in addition is excess open market pricing that’s helping to cover that sort of fuel gap. So while we’re going to need the second half of the year to play out before we can actually articulate what 2023 will look like exactly, I think there is a real path that by that point when we’re talking about 2023, we have all that covered and then some, and therefore have the opportunity for returning to our margin expansion path from price in excess of cost.
Michael Hoffman: Okay. And I’m not trying to belabor this. I just want to make sure I and everyone else here is clearly. You shared with us 220 of headwinds, 180 is offset with price. If I break the 220, 130 is direct fuel, 90 of surcharge, so there is the 40. Then there is 90 of other which includes the third-party and everything else, and it’s offset by 90. So you’re making up the indirect already. It’s the direct I’ve got to catch up on.
Luke Pelosi: Correct.
Michael Hoffman: Okay. Alright. I just want to make sure I mean everybody else understands you’ve covered through open market pricing, everything else that’s related to inflation except direct fuel cost at this point, okay?
Luke Pelosi: Yes, Michael, I think it’s important to contextualize, but it’s not just the unit rate inflation, right, like the actual unit rate inflation today is being more than covered. It’s all of these ancillary costs as well that you’re feeling from the labor shortage and the supply chain disruptions, those on top of this peak unit rate inflation together are what’s creating incremental cost headwind. And I think that’s an important piece because we strongly believe those subside.
Patrick Dovigi: Yes. And Michael, also, don’t forget, a lot of the pain we’re wearing on the non-recovery on the fuel stuff is coming from the residential book of business, right? So again, as Luke said, the lion’s share of those big increases we get come in 2023 and into early 2024. So it’s going to all be recovered and more. And as those inflationary costs are going sort of horizontal instead of picking up, there is going to be some meaningful margin expansion that come when you get those significant CPI adjustments on those resi contracts. So we’re very confident in what that looks like in 2023 and 2024.
Michael Hoffman: Got it. And you made the comment I was going to ask, you are seeing all of these things peaking and starting to settle or trend slightly lower already. So you’re in a position to be able to now catch and exceed it as opposed to chase it.
Patrick Dovigi: I’m not smart enough to call that this is the peak or we peaked. It’s certainly – I think we thought Q3 and Q4 of 2021 where we put through meaningful wage increases, etcetera., I think no one forecasted the supply chain disruptions that came from the war with Russia and the Ukraine and just what that did to a whole bunch of different parts of our business and then obviously what it did to fuel. But I think it’s remarkable what the industry is, forget GFL for a second. I mean what the industry has done and how fast the industry has reacted was a testament to the industry and the discipline of the industry today. So this is a different business than an industry than it was sort of 10 years ago, and I think everyone’s sort of reacting in the way they were. And it’s not we’re getting rich from it, we’re just covering our costs, right? And again, given the ticket size for our customer, this represents sub-1% of their sort of P&L as well. So, generally, it’s 0.5%. So I think they understand what it is. And in this environment, they want to ensure that their waste is being picked up. And this is what we need to happen. So I think – if you look at the wage inflation side, yes, that’s subsided now, it’s just finding the right driver, putting in the right seat. Obviously, steel prices, etcetera, are pretty volatile, equipment, supply chain issues, continue to slowly resolve themselves. Any major bumps we were going to get from our third-party providers, whether that’s long-haul trucking out of our transfers, etcetera, we have again warned that on the chin in the first half of this year. So again, all of those are starting to go sideways, not continuing to escalate upwards. So all of those point to very good signs for what 2023 and 2024 look like.
Michael Hoffman: Okay. Last one for me, on the leverage, based on what December 31, 2021 leverage was, your leverage on December 31, 2022 be less regardless of what the number is, it’s just – it will be less than the year end ‘21?
Luke Pelosi: Yes.
Michael Hoffman: That’s what I needed. Thanks.
Patrick Dovigi: Thanks, Michael.
Luke Pelosi: Thanks, Michael.
Operator: Thank you for your question, Michael. Our next question comes from Kevin Chiang of CIBC. Please go ahead.
Kevin Chiang: Hi, good morning, everybody. Maybe if I just ask the question that Michael was kind of going through some of the math. If we see a little bit of deflation, hopefully, or inflation peaking now when you think of some of the catch-up on CPI pricing, core price is obviously good on the surcharge program? And then maybe R&D fits in a little bit next year which should be margin accretive. If I kind of roll back 6 months, I think before inflation peaked here, we thought about this year maybe being about a 28% margin business as the divestitures that you made. Do you think you get closer down in 2023? I know there is still a lot of uncertainty with where the economy is. But let’s say things kind of broadly clear off the way we hope. Is that kind of stuff up possible on what you’re guiding to in 2022 from a margin perspective?
Luke Pelosi: Yes, Kevin, it’s Luke. I don’t want to get into the 2023 guide. But the short answer is, yes. I mean, I think it’s important to step back and contextualize I mean what the business has done. We’re public. 2019 was a mid-24s margin business. We’re still talking about this year despite this unprecedented inflation being sort of mid-26s, its 200 basis point increase over this very uncertain sort of time. Now a portion of that is the mix and the result of our sort of portfolio rationalization program. So sure, if you take that out, but then if we just look at solid individually, I mean, solid in 2019 was a mid-28s margin business. It’s now going to go this year. I think we’re saying that the guide here is sort of low 30s, mid-30s, that’s another 200 basis point increase in that. So I highlight that because I think our strategies are working. Our pricing is working, and our opportunity for outsized margin expansion is a combination of price plus improved asset utilization and just our sort of self-help is clearly there. What we have this year is solely a fuel-related temporary impact. So I don’t think it derails our longer-term plans. I think it’s a temporary impact that for all the reasons we are saying about improving the surcharge recovery in addition to CPI catching up, you have a path to get back on to that track. So I’m not going to sit today and say exactly what 2023 looks like. But I don’t think anything has changed in our long-term outlook. And in that fact, I think emerging from this period, our opportunity for annual margin expansion will be even greater than it was before because of how this has accelerated some of the programs that we were previously planning on undertaking.
Kevin Chiang: Maybe just a second one from me, just wondering the way you look at M&A change at all just given the current environment, whether it’s the impact of inflation on the businesses you’re buying, how they have been pricing, maybe that’s been a little bit more challenged in terms of their ability to cover costs and you got to go out and get it. So may not be something you want to get into labor shortages. Just wondering, just as you sit here today versus maybe how you looked at some of the pipeline 6 months ago or 12 months ago, has that materially changed how you evaluate these companies?
Patrick Dovigi: I think from our perspective, it’s been a question of where we actually acquire businesses, right, depending on labor markets, etcetera., driver pool availability, etcetera., has been a big driver in sort of where we’re looking at things. I think from an economic perspective, again, from our perspective not much has changed. I mean, some businesses have performed better. Some have reacted quicker to PI and getting some of the – getting in front of a bunch of these inflationary pressures, but I don’t think it’s really changed much. We will see how a bunch of that flows through the company’s P&L as we go through. But I mean, again, the lion’s share of what we’ve acquired this year outside of Sprint has been largely just tuck-ins that have densified our existing footprint where we can leverage our fixed cost base of facilities. So not much has changed from that front and the business units we’re offering continue to perform well. And I think that’s going to provide a pretty good opportunity. Because as you look at some of these businesses that want to exit because they are frustrated about some of these inflationary pressures they are experiencing, potentially, you’re going to be buying that off of a lower base number than you maybe would have sort of a year or two ago. So I think by and large, we’re still looking at things the same, but obviously have significantly more data points today to use to evaluate the different businesses in the different regions, just given the experience we have of our existing business today.
Kevin Chiang: Excellent note. I’ll leave it there. Congrats on the strong pricing sense in the quarter.
Patrick Dovigi: Thanks, Kevin.
Operator: Thank you so much for question, Kevin. Our next question comes from Tim James at TD Securities. Please go ahead.
Tim James: Okay, thanks very much. Good morning. We’ve talked in detail here about the moving parts in cost inflation and how pricing is recovering, though not entirely yet. Could I oversimplify things for a minute and think about your EBITDA guidance. You’re increasing your EBITDA guidance in dollar terms for the second time this year from the original amount. And that sophistically suggests that all of the incremental costs are being recovered or there are other factors beyond price that are actually better than expected and therefore driving dollars of EBITDA guidance higher despite the drag of the negative impact of inflation relative to price recovery. Could you sort of help me understand that? What are these other factors that are coming through better than expected and allowing you to raise your dollars of EBITDA guidance despite this sort of drag of pricing versus inflation?
Luke Pelosi: Yes. Hey, Tim, it’s Luke. I think it’s exactly right. I mean there is a lot of focus on the cost recovery because obviously that’s front and center, but it is overshadowing part of the core strategy of just the improved asset utilization and bringing together and optimizing the businesses that we have sort of assembled over the past few years. And that is exactly happening. An example like the Terrapure book of business and bringing that together with our existing environmental services business, I mean that’s gone exceedingly well. The opportunities, the efficiency, the rerouting and in the cost, working on improving our now expanded network is ahead of expectations, and that’s helping sort of drive margin in that. The same story goes through much of our U.S. sort of solid waste market and the pieces we brought together there. There is great instances of our thesis proving out exactly as anticipated by leveraging the existing infrastructure to drive improved asset utilization, and you are seeing that come through in the numbers. Unfortunately, with fuel escalating at the rate it does, the quantum of impact of that is overshadowing. But at the end of the day, if you look for the year as a whole, the new guidance we are putting out, direct fuel costs alone are suggesting our solid waste business like a 100 basis point margin drag. If you factor in the indirect, that comes to my third-party transport, etcetera, that’s probably closer to 150 basis points. So, I am contemplating a 60 basis point, 65 basis point decrease year-over-year in solid waste, 150 basis points being driven by solvent. That’s actually speaking, a 150 basis point being driven by fuel. That’s actually speaking to a lot of otherwise underlying margin expansion that’s coming from, one, the core price covering the cost inflation. And two, the improved asset utilization that you are speaking to.
Tim James: Okay. That’s really helpful. My second question, kind of on the same theme a little bit. I am just wondering, Luke, if you could update us from time-to-time, you kind of talk about long-term margin potential, EBITDA margin potential by segment. And I am wondering if we should change the way we think about that at all today? Like the second quarter shows that looking at percentages can be misleading because they don’t reflect your ability to offset higher costs with pricing initiatives, which actually keep dollars where you expect them to be and dollars being the more important part here. But that obviously hurts the percentages. Should we think about the long-term percentage margin potential for each of these segments any differently because of just a shift up in the cost structure, or is it not going to be significant enough long-term to really change that opportunity on a percentage basis?
Luke Pelosi: No, I think as I was responding to Kevin, I think we view this as a sort of temporary horizontal step in our otherwise upward trajectory of margins. So, I mean your comment about dollars is absolutely right when we think about that. I mean while we want the margin retaining the dollars is sort of first and foremost and then ensuring that you can sort of drive the margin on top of that is the sort of secondary. If you think about, though, where we have taken the business and where we are going, I don’t think anything has changed. We have a solid waste business and a footprint that we think is best-in-class, and we think we are going to drive that to a solid waste margin that’s best-in-class. And while this year may be a sort of slower step in that direction, nothing sort of changes. And you have to remember, we are achieving our results excluding a lot of the high-margin accretive aspects of businesses that a lot of our peer groups sort of already have. When you think about perfect fuel surcharge recovery, when you think about RNG, if you think about the CNG conversion and all the self-help we have spoken to, that’s all accretive to our margin profile of where it is today. And we still intend on sort of realizing that and bringing the – add to the margins that we previously suggested. Our Environmental Services segment, I mean I think it’s already significantly exceeding the industry group in terms of margin profile, and we see a lot more upside from there and taking that to sort of from the mid-20s to the high- 20s as we articulated, continues to be a plan that we are highly confident in our ability to achieve. And when you put those two together, what we are left is you have that small little corporate cost bucket. But you got to remember, I mean when we divested of infrastructure, $400 million, $500 million of revenue and not a lot came out of that corporate cost bucket because those costs were there to support everyone. So, we are now pushing forward with growth that’s going to help sort of further leverage that cost line as well, which will add to incremental margin. So, I would agree that focusing on the dollars is the priority. But I do want to caveat that we don’t think anything changes. And our upward trajectory that we have previously articulated, we remain highly optimistic in our ability to meet and exceed that.
Patrick Dovigi: Yes, I mean you look at it – I mean you have 40-year high inflation, based on as long as I have been alive. And we certainly didn’t see that in our lifetime. But when we sort of look at what happened and it came very, very quickly, and I think GFL along with the industry responded sort of appropriately. And I think if you can look at the business, and yes, there might be 100 basis points of margin contraction for a short period of time. But at the end of the day, we recovered 100%-plus of the dollars. And I think that sort of a feat its own right, and it’s a testament to the sort of durability and resiliency of the business and the industry. So, I think it’s a great data point that we have all sort of lived through the last particularly three months, four months here. And I think that’s just going to provide a great outcome as we move into 2023 and 2024 as we get back to more normalized states. From my perspective, I do think the driver issue is real. I think yes, we have significantly lower unemployment rates than historical averages, but the driver pool and the retention of drivers and keeping them in the industry is going to be a challenge for the entire industry. And we continue to look at different ways and with technology and automation, etcetera, to expand that driver pool to ensure that we can continue driving sort of the business forward. But outside of that, I think we are going to normalize pretty quickly and we are going to get back on to that original margin expansion opportunity that we talked about prior to this large inflationary spike.
Tim James: Great. Okay. That’s really great interest. Thank you very much.
Operator: Thank you for your question, Tim. Our next question comes from Jerry Revich at Goldman Sachs. Please go ahead. Your line is open.
Unidentified Analyst: Hi. This is Adam on for Jerry today. I know you are focused on the initial landfill gas projects in the pipeline right now. But could you frame for us the development opportunity set beyond the initial sites? How many of your landfills today have gas producing potential?
Patrick Dovigi: Yes. So, we have done – we updated the RNG opportunity in sort of our prepared remarks. So, if you look at where we sort of sit today, basically you have five sites that are on track, sort of under construction, going to come online, really between Q2 of 2023 and Q2 of 2024, and then – which represents, all sites today represent approximately 6 million MMBtus of fuel. So, apply whatever price you want on that. Today’s market pricing is probably in the $37, $38 per MMBtu, which we sort of are over half of that, plus the royalty. And then you have the other sites that we talked about which represent that we are literally just in the final throes of negotiation. And those sites are another eight, which represent probably about 4.5 million MMBtus. So, again, apply that same sort of math and it gives out of the outcome. And then you have – we have enough, we have a further – we have another site in Canada, which we are finalizing, which is a large site, which is approximately 1.5 million MMBtus to 1.7 million MMBtus. And then we have a whole subset of other projects that we have now gone out that we have gone out, done the work, pipelines are accessible. And we have gone – we are in the RFP stage for those, which are another approximately nine sites. So, those nine sites would represent sort of another 4 million MMBtus to 4.5 million MMBtus. They will be a little bit, I would say, from an operating cost perspective, so a little bit less profitable, but still well within an acceptable sort of IRR hurdle. So, I think when you sort of couple those altogether, the five plus the eight that were in definitive documentation and that’s 13 plus another nine, the opportunity subset has now moved up to sort of 22 sites from the original guide that we had given around sort of around the 10% to 12%.
Unidentified Analyst: Got it. That’s super helpful. And my last question, acquired annualized revenue is around $360 million year-to-date. Based on M&A dialogue today, can you just help us think about where that could track towards the end of the year?
Luke Pelosi: Yes. Adam, this is Luke. I mean we don’t like to give M&A target per se by quarter to speak for the year as a whole and what we said at the beginning of the year was I think $400 million to $500 million of revenue could be acquired. So, if we are at $360 million today, I think that sets you up to be on track or to exceed that amount. I don’t think you will see any more Sprint sized acquisitions for the balance of the year, similar to Q2. We will be focusing on densifying tuck-ins. But I think achieving our targeted stated goal for the year is obviously well within reach with the success we have had in the first quarter – in the first half.
Unidentified Analyst: Great. Thanks a lot.
Operator: Thank you for your question, Jerry. And our final question comes from Chris Murray at ATB Capital Markets. Please go ahead.
Chris Murray: Yes. Thanks folks. We spent a lot of time talking about margins and growth in solid waste. Can we just maybe talk about environmental services for half a sec. Organic growth was really significant, over 20%. And I guess just the organic growth that’s masked a little bit because of the acquisition growth. Can you talk a little bit about how much of that 20% organic is tied to just the price of used motor oil and any impacts we should be thinking about going forward? And as well, you talked a little bit about wanting to move the margin profile from the low-20s to the high-20s. What are the key levers we should be thinking about in terms of that margin profile going forward?
Luke Pelosi: Yes. Hey Chris, it’s Luke. So, on the first question, the outperformance in environmental services, here about $8 million to $9 million you are picking up in incremental used motor oil pricing, which we have factored into our broader fuel cost impact because we think of that as a natural sort of hedge to the rising fuel prices. But that’s the quantum of the sort of top line this year. If you think about the second part of the question, you got to remember the margin profile being given by – in that segment for this quarter is inclusive of about a 60 basis point to 70 basis point drag from M&A. The Terrapure business came on at a lower margin than our business, and you are seeing that mix impact as a sort of drag, right. So, you peel that back and you are actually getting organic margin expansion in that business from the same levers and strategies that we have been talking about in our solid waste business. We have assembled what we think is a best-in-class infrastructure or network that we are now scaling with densifying tuck-ins as well as organic growth to leverage that relatively fixed cost back end and drive operating margin. And that’s the plan. I think we are seeing it play out in spades much earlier on than we had anticipated with the Terrapure integration. And we think the sort of opportunity set as we go forward to leverage this new expanded network and our capabilities has never been greater. So, it’s continued to do small tuck-ins to densify as well as just drive incremental price and volume into that relatively fixed cost is the path that we are going to run down for the next couple of years and take that from the mid-20s to the high-20s.
Patrick Dovigi: Yes. We always anticipated this would come back. I mean we called this last year. We didn’t know the exact timing, but there was clearly a lot of people that had sidelined a lot of work just because of the stopping and starting, again because this business is so levered to Canada and the COVID restrictions that would come in and out. And I think that was part of the attractive part of the opportunity. When we bought the business, we were using COVID impacted numbers when we bought the business, and we knew there was a massive synergy opportunity from our business from East Coast to West Coast. And all of that is playing out, as Luke said exactly how we anticipated. I think even from a synergy perspective we exceeded our original synergy expectation in the first six months of this year, so that’s going to all prove out to be all additive as we move into the back half of the year. And obviously, with the COVID recovery continuing to happen and the removal of restrictions, it’s all played out as anticipated, albeit the timing was a little bit off, but certainly the thesis that we had going into it continues to prove up. So, all on plan.
Chris Murray: Okay. That’s great. My next question just, at the Investor Day you talked a little bit about, you call it your self-help type items, things like CNG, like automated side motors. Just kind of curious, how are you guys seeing equipment supply these days? Is anything starting to free up and going to give you some opportunities to add additional equipment or accelerate delivery of equipment as we go into the second half?
Luke Pelosi: Yes. Chris, this is Luke. I think things are tied out there. You heard it in our prepared remarks that the impacts of delayed truck delivery is driving incremental sort of R&M truck rentals, etcetera. I think there is a perspective that things should sort of loosen up as we go forward. But I don’t think anyone is anticipating the next sort of couple of quarters to be opportunity for accelerated deployment. I think we will be happy to get what we hoped to originally receive and go forward from there. I think the opportunity set for accelerated capital deployment into those self-help things really sort of plays out as you get into sort of latter half of ‘23 to ‘24, and we can start thinking about those sort of strategies as the free cash flow profile ramps provides the opportunity to more than cover any M&A opportunities and you really start looking at excess free cash flow. So, I think we have sort of still a little bit of runway before we contemplated accelerating those programs. As we have said, we are using normal course replacement CapEx dollars to advance the initiatives in those areas, but the opportunity to deploy capital above and beyond the normal course replacement CapEx is probably still a couple of years out.
Chris Murray: Okay. That’s correct. Alright. Thanks folks.
Patrick Dovigi: Thank you so much. Well, thank you, everyone for – any other questions, operator?
Operator: No, there are no further questions. I will pass back over to you, Patrick.
Patrick Dovigi: Thank you so much. Thank you everyone for taking the time to join us this morning. We look forward to speaking to you after our Q3 results.
Operator: Thank you everyone for joining today’s conference call. You may now disconnect.